Operator: Greetings, and welcome to the Greif, Inc. First Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Debra Strohmaier, Vice President, Corporate Communications, for Greif, Inc. Thank you, Ms. Strohmaier, you may begin.
Debra Strohmaier: Thank you, Claudia, and good morning. As a reminder, you may follow this presentation on the web at greif.com in the Investor Center under Conference Calls. If you don't already have the earnings release, it is also available on our website. We are on Slide 2. The information provided during this morning's call contains forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are on Slide 2 of this presentation, in the company's 2012 Form 10-K and in other company SEC filings, as well as company earnings news releases. This presentation uses certain non-GAAP financial measures, including those that exclude special items such as restructuring and other unusual charges and EBITDA. EBITDA is defined as net income plus interest expense, net, plus income tax expense less equity earnings of unconsolidated subsidiaries, net of tax, plus depreciation, depletion and amortization expense. Management of the company uses the non-GAAP measures to evaluate ongoing operations and believes that these non-GAAP measures are useful to enable investors to perform meaningful comparisons of current and historical performance of the company. All non-GAAP data in the presentation are indicated by footnotes. Tables showing the reconciliation between GAAP and non-GAAP measures are available at the end of this presentation and in the first quarter 2013 earnings release. Giving prepared remarks today are in order of speaking: Senior Vice President and CFO, Rob McNutt; and President and CEO, David Fischer. I'll now turn the call over to Rob.
Robert M. McNutt: Thank you, Deb. Good morning, and thanks for joining us. Please turn to Slide 3. Before I get into the 2013 results for first quarter, I want to make sure that readers of our release understand the changes we made to the presentation of earnings. We're presenting on a GAAP basis on the face of the release with the disclosure of special items included in the GAAP numbers below. Now to the results. First quarter 2013 earnings exceeded our budget despite a very soft holiday period. December volumes in our Rigids business were negatively impacted as many of our major customers extended holiday shutdowns to balance inventories. In the Paper Packaging business, our volumes were strong, and EBITDA for the first quarter exceeded our budget. Overall for the quarter, volumes were higher than in the first quarter of 2012, which drove higher operating profit, EBITDA and net income. We are on track to achieve our previously stated full year guidance for EBITDA of $450 million to $500 million. In December 2012, led by our new Treasurer, Nadeem Ali, the company amended its $1 billion senior secured facilities. Specific benefits included lower interest rates and increased financial flexibility. Please turn to Slide 4. Our first quarter 2013 cash flow was lower than a year ago. There were a couple of key factors that drove the year-over-year cash flow difference. Inventory changes totaled $40 million. Part of this change is normal variation. But in addition, we terminated consignment inventory programs in North America and in Asia. We're now financing that inventory more efficiently, with less administrative complexity and at a lower cost of capital, leveraging the new secured credit facility. Impact on the balance sheet was to increase inventory by approximately $15 million. There was also higher inventory due to increased production in our Flexibles Products & Services segment as we debottleneck the production problems in Turkey. The other big change from the first quarter 2012 cash flow is related to other assets, the largest component of which is attributable to timing of cash flows under our European receivables purchase agreements. As with the steel inventory consignment program, we are now financing these assets more efficiently. We also ended the quarter with higher VAT taxes receivable, which represented about $11 million, and that's a timing issue. The balance of $7 million includes currency impacts and a number of puts and takes of other smaller categories for the assets. Please turn to Slide 5. Net sales increased nearly 2% to $1,009,000,000 for the first quarter of 2013. This included a 3% increase in volumes, reflecting improvement in most of our markets including strong performance in the Paper Packaging segment. Selling prices decreased 1% for first quarter versus a year ago, and the impact of foreign currency translation was essentially neutral. The pass-through of the lower raw material costs in the Rigid Industrial Packaging and Flexible Product segments during the first quarter of 2013 more than offset higher selling prices in the Paper Packaging segment. SG&A expense was $123 million for the first quarter of 2013 versus $113 million a year ago. Employee-related expenses including pension, medical and performance-based incentive accruals and expenditures related to the global ERP implementation were higher than the same period last year. First quarter 2013 operating profit increased 14% to $65 million. The $8 million increase was attributable to strong performance in our Paper Packaging segment, supplemented by improved results for the Land Management and Rigid Industrial Packaging & Services segments, partially offset by a $2 million decrease in operating profit for the Flexibles Product segment. EBITDA increased to $101 million for the first quarter of 2013 from $95 million for the first quarter of 2012. Improved results in the Paper Packaging, Rigid Industrial Packaging & Services and Land Management segments each contributed to this year-over-year increase. Net interest expense declined to $22 million for the first quarter of 2013 from $23 million a year ago. This was due to lower debt outstanding compared with the same period last year and more favorable borrowing rates. Income tax expense was $12.5 million for the first quarter of 2013 compared with $11 million the prior year. This increase was due to higher pretax earnings compared with first quarter of 2012. The company's effective tax rate was 32.3% for the first quarter of 2013, in line with the same period last year, reflecting higher earnings from businesses operating in North America relative to lower tax rate jurisdictions. Cash tax payments were $9 million for the first quarter of this year. The company also received a $5 million refund in the United States related to a tax credit from fiscal 2009. Diluted earnings per Class A share were $0.43 in the first quarter of 2013 versus $0.38 for the same period last year. I'm now on Slide 6. Net sales for the Rigid Industrial Packaging & Services segment were $704 million for the first quarter of 2013 and similar to the same period last year. Volumes increased 4% in this segment for the first quarter of 2013 versus a year ago. Most regions, other than Western Europe, experienced increased volumes driven by higher customer activity compared with the same period last year. However, the continuation of economic conditions and market pressure in Western Europe remains a challenge. The 4% increase in volumes was offset by the combined effect of a 3% decrease in selling prices due to pass-through of lower raw material costs and a 1% negative impact of foreign currency translation. First quarter 2013 operating profit increased $1 million from the same period last year to $32 million. The year-over-year difference was attributable to lower restructuring and acquisition-related costs in 2012. Flexible Products & Services on Slide 7. Net sales for the Flexible Products and Services segment decreased 3% to $111 million for the first quarter of 2013. Average selling prices were 2% below the same period last year principally due to a change in customer mix for multiwall bags and market pressure in the United States that were partially offset by slightly higher selling prices for polywoven products due to favorable product mix. During the past few quarters, there's been considerable network rationalization and consolidation of manufacturing capacity in the Flexible Products & Services segment. This was in response to the soft market conditions in Western Europe and also to position the polywoven business for increased profitability and future growth. Operating profit was $600,000 for the first quarter of 2013 versus $2.3 million the prior year. There are indications polywoven business is turning the corner and should achieve improved performance during the remainder of 2013. Much of this is attributable to the successful progress of operational issues in Turkey coupled with measures to streamline the cost structure. These changes involve additional time and more expense than we had originally anticipated to complete. The other factor that influenced Flexible Products' first quarter 2013 operating profit was start-up costs for 3 facilities. These costs include the recently completed Phase 1a of the fabric hub in the Kingdom of Saudi Arabia and cost associated with the converting facility in Morocco and the shipping sack facility in the United States. I'm now on Slide 8. Paper Packaging segment had another strong quarter driven by a 10% increase in net sales, which totaled $184 million for the first quarter of 2013. Higher selling prices and a change in product mix accounted for 7 percentage points of the net sales increase. While first quarter volumes represented an additional 3 percentage points compared with first quarter of 2012. Operating profit increased 38% to approximately $28 million for the first quarter of 2013. Key factors included the solid increase in selling prices, higher volumes and lower raw material costs. OCC costs were about $19 below first quarter 2012 but were $40 higher on a sequential basis. Please turn to Slide 9. Our Land Management net sales increased 32% to $8.6 million for the first quarter of 2013 and particularly benefited from increased timber sales. This was principally due to customer demand and wet weather conditions, which favor our high and dry timberland properties, which can still be accessed even in wet weather. Operating profit increased 40%, $4.2 million for the first quarter 2013. This year's first quarter results were attributable most -- almost exclusively to the increase in timber sales. Please turn to Slide 10. For fiscal 2013, excluding Western Europe, we anticipate an increase in volumes versus the prior year, reflecting modest global economic growth plus relatively stable raw material costs and improved operating performance. We reaffirm our outlook for fiscal 2013 that EBITDA will be between $450 million and $500 million. That concludes my remarks. I'll now turn the call over to David.
David B. Fischer: Thank you, Rob. Please turn to Slide 11. I want to begin by emphasizing my statement in our earnings release and echo what you have heard from Rob this morning, that is, our first quarter results were slightly ahead of plan despite the protracted shutdowns of many of our major chemical customers at the end of calendar 2012. These shutdowns were longer than normal and certainly lengthier than we had expected them to be. We remain on track to achieve our EBITDA guidance for fiscal 2013. Please turn to Slide 12. I want to address safety. Safety is the way we start every operations meeting in our plants around the world. Maintaining a Safety First culture is consistent with the Greif way, and it's the right thing to do with our employees and our visitors. It is also, secondarily, a path to save money. This past quarter, we celebrated with 55 facilities around the world that achieved our Chairman Safety Excellence Award for 2012. These 55 facilities working a cumulative 8.5 million man hours had a world-class medical case rate between 0 and 1. We continue to make gains in our safety performance as we pursue our goal of 0 incidents across the entire network. This company-wide effort benefits the quality of work life for our employees and yields significant gains for our shareholders. Moving to Slide 13. The trend line reflects gradual improvement in our markets notwithstanding ongoing concerns about current and longer-term economic conditions in Western Europe. We continue to closely monitor these developments, particularly the actions of our customers and our suppliers. As in the past, we are responding aggressively to market pressures while also implementing plans to strengthen Greif's long-term position and competitive advantages. Since the most recent economic downturn, which began for us in the third quarter of 2011, we have been involved in restructuring and other actions in order to adapt quickly, but not prematurely, to events as they unfold. Resolution of the pending issues within Western Europe may take several years, and these local industrial markets may look quite different at the end of that period than they do today. Regardless of that outcome, we will continue to right size our manufacturing footprint and our cost structure to properly serve our customers. Many of them operate global businesses and are currently evaluating their best course of action for the future. Greif's comprehensive global footprint is poised to meet their needs wherever they operate around the world today and in the future. In contrast to the challenges of Western Europe, there is gradual improvement in our other markets. We are encouraged by increased activity in regions such as the Middle East, Eastern Europe and specific countries such as Brazil, China, Russia and Singapore. However, the most exciting emerging opportunity perhaps is here in the United States, which is at the front end of a manufacturing Renaissance led by the energy revolution. A number of our customers have already announced plans to add manufacturing in the United States, and the total investment publicized to date by industrial companies is $90 billion over the next few years. Although [ph] it will be several years before these industrial facilities are up and operational, the infrastructure requirements and the economic benefits may appear earlier. Paper Packaging remains an important element of the Greif portfolio. During this period, we have achieved strong performance in the Paper Packaging segment. Record results continue to be established as we benefit from our own initiatives and from the improved containerboard market in the United States. We are on Slide 14. 3 years ago, we launched a multi-year asset strategy internally referred to as the Efficient Frontier in our Paper Packaging business. It is focused on improving long-term performance, increasing operating efficiencies and reducing the cost structure of each facility. Although we have achieved a number of records based on financial measures during the recent quarters, there is still a substantial amount of improvement to be realized. As we have pursued improvement in our existing businesses, we have also made strategic investments, particularly in 3 global platforms since 2010 that are focused on increasing profitability through growth. While each of those businesses currently has a substantial exposure to Western Europe, we are working aggressively to diversify that sales concentration through growth in other markets. I was recently in Turkey to meet with our Flexibles business managers who have been aggressively implementing the Greif Business System at the FIBC plants there. My visit followed several months of their work to consolidate their manufacturing footprint across Europe. I was encouraged to see concrete signs of progress including our recently completed Phase 1A fabric hub in the Kingdom of Saudi Arabia. To further our Flexibles product range, we continue to lay the groundwork for entering the shipping sack market in the United States. Business is increasing sales can [ph] capabilities in North America to accomplish that goal. Also last month, we unveiled a new Fustiplast IBC line in China to help introduce the new and better IBC to the market, we hosted a technological seminar for our customers so that they could easily learn firsthand the innovative and differentiating features of the Fustiplast flu box. This IBC enhances our product portfolio in China, allowing us to offer the full range of Industrial Packaging products to our customers there. We have also installed an IBC line in Brazil and plan to begin production at a new IBC line later this year in the North American market. We continue to integrate the Reconditioning business with our Rigids business. Depressed market conditions and stiff competition have challenged the availability of used containers. In the United States, we continue to work on expanding our footprint for collection and customer service. Customers continue to emphasize the need for reconditioned packaging and recycling services as they move towards their long-term sustainability goals, which may include closed loop systems. Please turn to Slide 15. Our 3 global growth platforms further broaden our product offering to customers and strengthen Greif's long-term competitive advantage. These growth strategies are also being supplemented with grassroots product innovation. You may think that all drums, containerboard or polywoven products are alike. However, our customers are keenly aware of the differences that distinguish a product's quality, performance and value. We've recently introduced new products in 3 of our core businesses. Examples include our NexDRUM and our LeaderCorr products. Our new plastic NexDRUM is making headway in the market as customers value its lighter weight and sturdier design, which handles the rigors of stacking better than a traditional plastic drum. This innovative drum is made using state-of-the-art extrusion and injection molding processes, which provide excellent durability and consistent wall thickness using less resin. The other product example is LeaderCorr, which is manufactured in our Paper Packaging business. It's a recyclable alternative to foam board used primarily for signage and in-store displays. It is produced using less energy, less water and less starch versus other paper-based alternatives and has a flatter surface that is ideal for printing. The best part for end use customers is that it can be placed directly into the OCC stream for recycling after its use. By replacing the traditional foam board with LeaderCorr, customers stop paying to have their discarded signage hauled away to the landfill and begin being paid for their valuable OCC. For some large multi-location retailers, that swing yields immediate and significant cost savings and addresses their sustainability goals. These products have been well received by customers and offer significant growth potential. Additionally, they include elements that address sustainability. Sustainability is an economic and environmental imperative. The companies that best understand this will be the companies that succeed in the future. We've been consciously reducing our environmental footprint for the past decade through the Greif Business System, which provides the tools and the analytics for all areas of our operation. For us now, sustainability is not a standalone effort. We are working on consciously weaving sustainability practices into everything we do and realizing both the social and the financial benefits from it. Every effort we make to enhance our sustainability profile must have a business case. If it doesn't make sense for the business, it isn't sustainable, and it isn't pursued. That concludes my remarks. Rob and I will now be glad to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Phil Gresh with JPMorgan.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: First question, Rob, I wanted to just follow up on the cash flow. The color you gave there was helpful. I guess I just wanted to clarify how much of that would you say is kind of a permanent change, the consignments and receivables, versus kind of temporary? You mentioned it a little bit, but I just wanted to get a broader picture of kind of how you would think about working capital this year as a result of these items that happened in the quarter.
Robert M. McNutt: Yes. And thanks for the question, Phil, give me a chance to give you little more detail. In terms of the consignment inventories, historically, in some locations, we basically had our suppliers hold inventory for us. Now obviously, that's not free, but it shows up on their balance sheet rather than ours. What we've been able to do with the refinancing that was completed in December is it's actually cheaper for us on an all-in cost basis, total cost of ownership basis to hold that inventory rather than have our suppliers hold that. And so that component of the inventory is now moved onto Greif's balance sheet and will be there. Now obviously, we'll continue to monitor alternative sources of financing that inventory. But for the foreseeable future with financing we've got in place, that seems to be a more attractive -- that is definitely more attractive way to finance that. The other inventory item I mentioned was the Flexibles in Turkey is that as we've got the debottlenecking done that David spoke to in Turkey and improved that productivity and got the throughput there. That production came on and the sales channels weren't fully committed for that. Through the month of February, the sales in that business out of Turkey have improved pretty significantly, and we see that inventory working its way down. We should see that work down a lot of it over Q2, probably some of it into Q3 and then normalize thereafter. And so I mentioned the consignment inventory was about $15 million, and the Turkey issue was more in the $10 million range, $11 million range. Now beyond that, we have normal fluctuations in inventory at fiscal yearend in October, we ended it with relatively low inventories and timing issues and so forth and preparing for market and so forth. Those ended up this quarter -- first quarter up a little bit. And so obviously, those will move with price as well. In terms of the receivables, the European receivables purchase agreement, fundamentally what we do there is, as we sell product, we turn around and do a true sale of receivables to a financial partner. And the financial partner then discounts those receivables and has a hold back on that in part for discounting, in part for risk and so forth. And so as we had improved sales coming out of January, that's a component of that. And so that's going to fluctuate as our receivables balance moves in Europe. And so if you assume that Europe's going to continue to improve and we'll continue to improve sales there, that will be a more permanent part of the financing structure as well. The VAT taxes is strictly a timing issue, and that ebbs and flows timing at the end of every month.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Okay. So do you feel like working capital will be a source this year or because of some of these one-time changes, it'll be a headwind, because it was a pretty big source last year, so I'm just trying to get a sense of how you're thinking about it now.
Robert M. McNutt: Yes, if you think about it on our balance sheet, our objective is to still make it a source this year even with these headwinds with it which, again, as I look at it, I'm trying to think, I'm trying to identify and Nadeem's trying think of the best, most economic way to finance the working capital of the company. And so our objective is to make it a source, but as I think I mentioned on the fourth quarter call that it would be tough for us to reach the amount of cash we generated out of working capital last year, this year. But it's still expected to be a source.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Okay. And then on the Industrial Packaging side, on the Rigid side, the volume performance clearly started to turn a little bit despite what you called out for slowness in December. But if I look kind of pre the items, your restructuring is down quite a bit. Pre-items, the margins were still lower year-over-year. So I'm assuming there's still some price challenges there that you guys had called out last quarter. North America was a new thing that you had called out. So I was just wondering if you could give us an update on how things are looking on the pricing front, and just elaborate on what you're seeing, volume wise, as you look out the rest of the year? It sounds like you're a bit more optimistic.
David B. Fischer: Yes, Phil, I'll take the call, or the question, excuse me. I would say that conditions on margins and pressures on margins haven't changed markedly in recent quarters, still very competitive in various parts of the world. But they haven't deteriorated further, and we are starting to see some signs of firming. Volume is a bit more clear to us. And as you take a look, if you would weather a little bit of a walk around the world, I'll give you a more specific answer to how volumes are looking. If you take back up and look at the landscape regarding the comparison to the same time period as previous year, most of our volumes across our portfolio are up slightly to up, meaning that, and I'll go through the specifics in here a second, up just a little bit or up fairly significantly for us, save the polywoven business, which has gone down, primarily driven by us unwinding some unprofitable JVs in Australia and unwinding some unprofitable operations in JV in China. But overall, compared to the same time period as last year, we're cautiously optimistic that volumes are up slightly to up. And then versus sequentially, the same -- or the last quarter of calendar 2012, it's a mixed bag because of seasonality. So you get a little bit of mixed bag in those looking at those numbers. But as I go through North America, I'll give you first the previous year then I'll give you sequentially versus Q4 2012. Again, up very slightly single digits versus previous year and down due to seasonality about 10%, which is expected, versus Q4 last year. In Europe, we see it up versus previous year, low-single digits and down, again, seasonality about the same amount as North America. APAC, Asia-Pacific, it was a bit of a surprise how strong it was versus same time period as last year, from my vantage point. And I think it speaks to the slowdown China experienced throughout 2012, and they seemingly have rebounded from that, and not just China but also Southeast Asia, up about 10% versus previous year and even up slightly versus Q4, which is probably the biggest surprise for me. Latin America is up mid-single digits versus the same time period as last year and up versus Q4 as well. This is seasonally a slow time period for the Ag Chem business down there, but all indications are that some of the major countries down there are having a very robust agricultural season. Steel closures, our Packaging Accessories business, up mid-single digits versus previous year and down because of seasonality versus Q4. Polywoven, I mentioned down-mid single digits because of the unwinding of a couple of unprofitable ones and down versus fourth quarter low-single digits. And then our mills up only slightly versus same time period last year, and that's basically because we've been running at capacity for some period of time and versus Q4 down due to seasonality slightly. So I hope that wasn't too long-winded of an answer, but that's kind of what we're seeing around the world. I'm sorry, were you asking one other question?
Phil M. Gresh - JP Morgan Chase & Co, Research Division: No, no, that was very helpful. I was wondering what are you seeing now as we enter this quarter? Are you seeing any continued acceleration in some of these trends? And as we think about what happened on the way down with Flexibles kind of lagging Rigids in terms of when the volumes fell, would you -- how would you think about Flexibles on the way up? I mean, do you feel like you're going to start seeing some of those improvement there as well?
David B. Fischer: Yes, we do. It is -- that's a good memory on your part. We do see -- we do have a longer supply chain in the Flexibles business, and it's seasonally a low period. We do anticipate it following the Rigids business, which is much, much shorter lead time. As far as the first part of your question, in terms of acceleration, I'm not yet ready to say we see an acceleration of what we are currently seeing, but we certainly see a continuing the firming track and listening to customers around the world. Their voices are changing versus the last, let's say, 8 quarters of mixed bag and challenging environments. I wouldn't say it's euphoric, but they certainly see some firming in their own business around the world. And Rob, I don't know if you want to add anything to that.
Robert M. McNutt: Yes, the only thing I'd say that as David had mentioned that the holidays period were unusually soft with extended shutdowns of customers. As we went through January, through the course of January, we saw a significantly improved performance in most geographies. Part of that looks to be a snapback on the inventory side but also firming, improving underlying business. And again with the exception of Western Europe, improved performance in terms of volumes really throughout the rest of the world including, as David said, China, even going into the Chinese New Year, which is an unusual event to see that kind of improvement at this time of year so.
David B. Fischer: I would say lastly, Phil, the one area that I would also highlight is in U.S. Gulf Coast area and a little bit on the East Coast, but mostly U.S. Gulf Coast area. We're -- because -- I think because of the breadth of industries we get exposure to and the numerous facilities we get exposure to, from a customer standpoint, we often see some things that are maybe opaque to the rest of the world a little bit earlier. And we're clearly seeing a change in attitude due to this shift in energy and energy intensive industries not only within existing capacities around the world for global customers, but also our new customers coming to North America. And you do hear and see real evidence of increased demand, not necessarily in Q2 or even Q3 but in the coming quarters and years that are coming to the U.S. shores. There's no mistaking that.
Operator: Our next question is coming from the line of Adam Josephson with KeyBanc Capital Markets.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: David, just a follow-up on something you were talking about before about your customers sounding somewhat more optimistic than they've been over the past couple of years, is that in any specific region or is this greater optimism fairly broad-based from what you can tell?
David B. Fischer: From what I can tell, and we tried to spell it out in the release, some of the major countries like Brazil, Russia, Singapore, China, Malaysia, U.S. Gulf Coast, more optimistic. And I'm a little bit guarded to report on something like that because they've been beat down fairly significantly in the Industrial segments during the downturn, and any little sign might or even stability might cause them to be more optimistic. But it's a continual drumbeat, and it's definitely a change in their tone in those areas. I would tell you that in the industrial segments of Western Europe, they're still pessimistic, unlike the financial markets which seemingly have kind of stabilized or moved sideways in Western Europe, the industrial segments have not. And the Q4 data out of the major Western European countries confirms what we're seeing that they're still in a contraction mode, may be slight, but still on the downward trajectory and certainly not up. But outside Western Europe and specific to the countries I mentioned, we're hearing optimism.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: That's helpful, Dave, and just 2 others. One is in fiscal '12, your assets in Flexible and Paper were fairly comparable yet, obviously, one segment is generating significantly more profit than the other. How are the diverging performances of those 2 businesses affecting your CapEx plans for them, if at all?
Robert M. McNutt: Yes, I'll take one, Adam. It's Rob. As you look at what the company did let's say 5 years ago with this Efficient Frontier strategy in the Paper business that David described, we made those investments and we've greatly improved the cost structure. Now we've gotten a lot of tailwinds in that business from the markets in North America. But make no mistake that the investments the company has made have improved our cost structure and have allowed us to pursue higher value markets, and those are showing up in the bottom line in the Paper business. We're about 2/3 to 3/4 of the way through that investment plan. It's a multiyear plan, and so over the next few years as we continue to play that out, depending on opportunities in the market, other cash flow calls and so forth, we'll continue to fill that out. But -- so similar to that as we put together the strategy for the Flexibles business, we put in place a strategy a few years ago and have been executing on that strategy. And so that kind of an investment strategy doesn't pay off immediately. But we continue to believe that the underlying strategy is the right strategy. And so as we have said in the Flexibles business on past calls, the pace of the investment in Saudi may stretch a little bit as the market in Western Europe, which again recall that was by far the bulk of the market in that business when we bought that, the pace of the investment in Saudi to fill out that fabric hub there will be somewhat tied to the market demand for the downstream products. And then our investment strategy around that business, as we had said initially, to diversify the markets out of that and invest in downstream distribution in markets like North America where, I think, as David described well, the Renaissance of the energy is going to create a lot of opportunities there. So we'll have the opportunity to continue to execute on that strategy and grow that business. So I think that answers a question in terms of being a long ways through the investment cycle on paper. It's paying strong dividends. We're at the earlier part of that investment strategy cycle on the Flexibles business.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: And just one last one on Rigid. How much of the improvement that you're expecting in Rigid over the remainder of the year is coming from improvement in the legacy business versus improvement in the performance of the recent acquisitions?
Robert M. McNutt: I don't think we've broken that out specifically by category, but I would say it's shared between the 2 markets. I think we're seeing a heritage business improvement perhaps more driven by volume and the acquired businesses improving more from an operational capability in the Greif Business System, lowering their cost structure and increasing their efficiency, but one that is, let's say, hindered in the Rigid side, particularly to the Reconditioning Recycling business and due to the lack of availability of empty vessels and empty units that we can process. As far as specific to the Rigid IBC, it's just more of us getting past the build and start up of 4 new lines around the world and getting those lines filled up as we enter as a third player to many of those markets around the world to existing customers. So it's a little bit of a mixed bag. It's a good question, but it's a little bit of a mixed bag that you kind of have to peel it back a little bit to get a clear picture of.
David B. Fischer: Also recognize that, that legacy business is by far the bigger weight in that, right?
Operator: Our next question is coming from the line of Chris Manuel with Wells Fargo.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Yes, I have a couple of questions. First, Rob, I appreciate the color you gave us with respect to some of the elements within working capital, but just maybe I'm still a little confused. So may I ask a question a little differently? If I added the 2 pieces together, the elimination of inventory consignments and the other balance sheet piece in Europe that was about, if I did it right, about $40 million. And is working capital for 2013 anticipated to be flat including the $40 million change or excluding that?
Robert M. McNutt: Yes. I'm sorry if I wasn't clear on it, Chris. The -- including the additional balance sheet headwinds we'll absorb from bringing those consignments on our own balance sheet, we still anticipate that we'll have an improvement in net working capital or it will be a source of cash for the total year for the company, not nearly the source of cash that it was in 2012 but continue to be a source of cash.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay, well, that's quite remarkable considering you had this $40 million to overcome so okay. That's encouraging. Second question I had was as we look at -- David, you talked about some pricing issues and we've talked about those a number of times in the past in the rips [ph] business. At what point do those start to anniversary? So I think it was very apparent last quarter, it was apparent this quarter as we had volume improvement and as that business continued to post lower numbers year-over-year, at what point does that start to anniversary, and we'd see more traditional contribution from or degradation from volume up or down?
Robert M. McNutt: Thanks, Chris. I'm assuming anniversary means turning point or when do they sunset. And if that's the case, I think the volume and somewhat a higher capacity utilization by the industry has to be realized before we're going to see let's say a strong move in pricing. And that volume, this is the first quarter we're seeing some hints that volume is starting the recovery. I don't -- I can't predict the future. I don't know if it's going to be 1 quarter or 3 or 4 quarters. Probably it's related also to whether or not we see an acceleration of the volume through the customers to whether or not we're going to start to see margins expand markedly. All the while, we are constantly working on our monthly performance of margin management at all of our key accounts and house accounts across the globe. That will give us some incremental gains in margins. But it's largely going to be driven by health and the economic activity of our markets on a future basis.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Let me ask it maybe a little different. I guess what I was looking for is, at some point, you'll begin to comp and run over on a year-over-year basis when you began to see that pressure and when we started to see our margins decline due to pricing. What quarter over the course of your year does that fall in? If as you suggested that the pricing environment has been stable this quarter, and it was probably stabilize quarter, if memory serves, I was thinking it was April, May time frame last year when you began to see pricing step down. I'm just trying to confirm that that's approximately when, in a static environment, that we would begin to lap those same comparisons. Does that makes sense?
David B. Fischer: That makes sense. I don't know -- I haven't looked at that in the coming year as much as I have been looking at the absolute margins, but I believe you're correct. I'm going to come back to you as a follow-up on that just to make sure I'm grounded. I think you are correct in that we should have the benefit of a lower comp coming into the third quarter.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. Next question I had is when you look at the 3 growth platforms that you talked about, Flexibles, Reconditioning, IBCs, and this is kind of a follow-up to Adam's question, we can see there's transparency as to how the Flexibles business is doing and contributing to those 3. The other 2, the Reconditioning and the IBCs, there's -- it's difficult. There's no transparency for that. So as we think about their performance, I recognize that you're making additions in IBCs so that's sort of a on the come sort of piece. But the Reconditioning business as you bought some, spend a few hundred million dollars and putting some assets into place, could you give us maybe a little more color as to how that's performing or contributing? Is it contributing say more than what the Flexibles business is right now or less than Flexible business is right now? What are the key milestones to get better, or as we see that move forward? And then I've got kind of a follow on how that business is doing, too.
David B. Fischer: All right. I'll make a first stab at this and then Rob may add, annotate. So as far as the Rigids and Recycling portion of your question, I would tell you that -- and this is not to dodge your question, but it's a fact of life, that some of what I can't quantify for you is the protection or defensive nature of the Recycle Reconditioning business and what it's brought to the Rigids envelope. There are a growing number of very large customers, our largest, in fact, group of customers and some smaller ones that require us to offer Recycling Reconditioning capabilities as an imperative of doing business with them. And that is something that we've recognized, and we're moving ahead with in a very aggressive way. And then there's the point of -- that you recall -- that you bring up about returns, and I can say that they're positive at this point in time. They are contributing positively to the sector but not nearly to the degree we had forecasted, particularly out of the Western Europe region because of the inactivity and the lack of availability. Now there's a lack of availability of empty raw drums, which is the raw material or empty raw IBCs, which is the raw material for the Reconditioning business. Those that we do find, we have to often travel farther for, which has raised our radius of logistics pickups and, for the ones that we have been able to get, we are also in competition with the other big players. So the price of those incoming to our envelope have gone up. So I'm not making excuses for the business. I'm very bullish that this is the right thing to do and, in fact, required to do because of our big customers, move down the sustainability arm. And I'm confident that with increased activity, you're going to see a growing contribution of that Reconditioning business in that envelope. Rob, would you like to add anything to that?
Robert M. McNutt: I think you covered it well. I think that the key point is that, as David said, not performing at this point where we had anticipated really largely tied to the Western European slowdown but, on balance, those acquisitions are making positive contributions to the company.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. So when you said positive contributions, those are EBIT positive businesses as were -- particularly the Recon business as we look at it today?
Robert M. McNutt: Yes. I don't think -- I don't want to start down the path of giving you individual product line financials. But just to say that they're contributing I think as far as I want to go.
Operator: Our next question comes from the line of Steve Chercover with D.A. Davidson.
Steven Chercover - D.A. Davidson & Co., Research Division: First of all, I just want to confirm that in your reaffirmed guidance, you're not incorporating any moves on the containerboard price hike?
David B. Fischer: Not yet. No, we have not included those into the reaffirmed guidance.
Steven Chercover - D.A. Davidson & Co., Research Division: And as I recall, you guys are definitely price takers but you're pretty good at following?
David B. Fischer: Yes. We do not, unlike some others, we don't go out and formally announce, as a relatively small player in the market, we don't go out and formally announce, but rather have individual conversations with our customers. And those are conversations that are taking place as we speak, and take place every day. To the degree that price increase does go through successfully, it's really hard to see that having a material impact on Q2 results but would start to show up in Q3 and Q4.
Steven Chercover - D.A. Davidson & Co., Research Division: Yes, indeed. I agree with that. But if you add that comment with your statement that Q1 exceeded your budget then I know it's only one quarter under our belt, but it's possible that your $450 million to $500 million EBITDA numbers could ultimately come in light.
David B. Fischer: I think there's clearly some upside in the paper business.
Steven Chercover - D.A. Davidson & Co., Research Division: Great. And just switching gears to Flexibles. So there were some start-up costs in Saudi Arabia in Q1. Will they be repeated in upcoming quarters?
David B. Fischer: Yes, what we had said earlier was that we anticipated about $1 million a quarter for Saudi this coming year. And in addition, there are the other start-ups, smaller impact, the shipping sacks we mentioned and Morocco conversion, which we mentioned. Those will have a smaller impact but also a negative impact, and those depend on how quickly they start up.
Steven Chercover - D.A. Davidson & Co., Research Division: Okay. And then on the SG&A front, your expenses were up due in part to the technology spend, and I'm assuming that, that's part of your drive to get SG&A into the single digits. So is it going to remain elevated near term or how long till we see these benefits?
Robert M. McNutt: Yes, I'd love to be able to tell you that we can roll out a new ERP system globally in 6 months, but I think to do it responsibly, we're going to take our time to do that. And so that the SG&A will be a bit elevated. Now recognize part of that is also related to pension and medical, as well as ERP. And so pension and medical tends to move around a bit more based on experience and so forth, and how the fund performs. But the ERP side of that, we do expect to continue here, and we'll start to see the benefits of that. Our initial installation is supposed to happen the first calendar year or the first half of this calendar year. And as that progresses and rolls out further, we should start seeing some improvement really next year in the impact of that.
Steven Chercover - D.A. Davidson & Co., Research Division: Okay, perfect, and one last quick one, if I could sneak it in. Your gross margins in Q1 were pretty strong, 18.6%. Do you think that's sustainable for the rest of the year? Or is it going to get better as you have just better utilization?
Robert M. McNutt: Yes, a couple of different things drive clearly the paper business with spread between containerboard and OCC being in pretty good shape. Obviously, that helps us, the cost structure improvement that the investments that we've made over the past several years are helping us in the Paper business. So clearly the Paper business is a significant component of that margin improvement. Assuming we continue to have stable raw material prices and we get some demand improvement that we're starting to see the front end of in the Rigid business, hopefully we can sustain or potentially improve. Now the risk to that, I think, is one, we don't get the improvement on the Rigids side that helps us out out there or, more likely, I think, as the Chinese markets broadly improve, that OCC demand there goes up and we get a little bit of a negative impact there.
Operator: Our last question is coming from the line of Ghansham Panjabi with Robert W. Baird.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Rob, just to clarify. On the $450 million to $500 million of EBITDA for fiscal year '13, what are you assuming for restructuring charges and special items?
Robert M. McNutt: Yes. We hadn't moved that at all. I think that the guidance initially was in the $25 million range for restructuring and acquisition-related costs. Thus far, in Q1, they were relatively light. And I think as David said, until our downstream customers in Europe make some firm decisions in terms of facilities, it's difficult for us to make a firm decision on how we'll address that in Western Europe. But we certainly have plans on the shelf depending on which way our customers go. And so depending on the timing of when our customers move, that's going to impact that some for Western Europe. The balance of the world will continue, and there's some specific steps we'll take here over the next several quarters that are on the table.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then just looking at Industrial Packaging over time. So fiscal year '10 versus what you reported for the last fiscal year, 400 basis point decline. Obviously, volume was a big part of that. Has there -- is there anything structurally different now? I guess there's some pricing issues, et cetera, in Western Europe that prevents you from sort of getting back to that 11% operating margin threshold there, as volumes continue to recover?
Robert M. McNutt: Yes. I would say, no. I would say that, clearly, Western Europe as it goes through a bit, as our downstream customer markets go through a bit of a restructuring in Western Europe, that that's a headwind. And Western Europe's been an important part of the envelope. But at the same time, the company's been doing I think a good job of building out in other markets around the world, in Eastern Europe, the Middle East and so forth, to offset that. And so we're getting some benefits there. And then as David had talked about, the energy renaissance in North America, that's really where we see some real upside there.
Ghansham Panjabi - Robert W. Baird & Co. Incorporated, Research Division: Okay, and just one final one on China. Which specific end markets are you seeing improvement? Is at all localized demand that's fueling the improvement? And your customer's also benefiting from sort of shipping out of Western Europe on specialty chemicals into China?
David B. Fischer: Just real quick. Our customer base are large multinationals that operate within China and large state-run operations that also operate. We are seeing both domestic consumption increase and export out of China, not only to the Southeast Asia region, but even North America, as key drivers of the demand pick up.
Operator: Thank you. We've reached the end of our Q&A session. I would now like to turn the floor over to management for closing comments.
David B. Fischer: Thank you, operator, and thank you, all, for participating in our call today. In closing, I'd like to repeat that we're seeing the first signs of a long-awaited increase in global demand. However, recent years of choppy and false starts keep us grounded in a state of cautious optimism. Rob and I look forward to reporting further on these developments after our next quarter.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time, and we thank you for your participation.